Darice Liu: Thank you. Good afternoon everyone. Welcome to Universal Display's Third Quarter Earnings Conference Call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer and Sid Rosenblatt, Executive Vice President and Chief Financial Officer. Before Steve begins, let me remind you that today's call is the property of Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display's website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, October 29th, 2020. During this call, we may make forward-looking statements based on current expectations. These statements are subject to a number of significant risks and uncertainties and our actual results may differ materially. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC and should be referenced by anyone concerning making any investments in the company's securities. Universal Display disclaims any obligation to update any of these statements. Now, I'd like to turn the call over to Steve Abramson.
Steve Abramson: Thanks Darice and welcome to everyone on today's call. We hope that you are all continuing to stay safe and healthy. While we continue to face uncertainties during this pandemic, our priority remains on the health and safety of our employees, customers, partners, and community, safeguarding and growing our business operations, and advancing our strategic growth programs. We are pleased to report third quarter results of $117 million in revenue, operating profit of $48.4 million ,and net income of $40.5 million or $0.85 per diluted share. As we noted during our second quarter earnings conference call, we saw a significant pickup in customer orders in July and that's straight extended into August and September. Looking to the near-term, while ongoing uncertainties relating to the COVID-19 pandemic persist, we see continued strength in the fourth quarter. Based on current estimates, we believe 2020 revenues will be in the range of $385 million to $400 million. As we look to 2021 and beyond, as new OLED production comes online, new OLED consumer electronic models are launched and customers continue to advance their own commercialization plan, we expect to resume meaningful growth. OLED activity in the consumer electronics market continues to broaden and grow with new models and new applications. On the OEM front, Apple recently unveiled its iPhone 12 series. All four models, the iPhone 12, 12 Mini, 12 Pro, and 12 Pro Max, all support 5G and have over displays. As Apple noted on its website, the iPhone 12 is the best iPhone display ever. Apple described the display as 'vastly more contrast, incredible color accuracy, and huge jump in pixel density. OLED delivers brighter brights, darker blacks, and higher resolution for everything you look at. This is the best iPhone display we've ever made and it goes all the way to the edge' Apple also highlighted under the header, 'the brilliant link from LCD to OLED', 'unlike LCD, which is a backlight to illuminate all the pixels at once. OLED pixels each emit their own light, they can be completely turned off to produce true blacks will light up all the way to 1,200 nits for HDR content. That's how you get 2 million to 1 contrast ratio. The difference is dramatic.' Within the consumer electronics landscape and increasing topic from fat panel makers to OEMs to consumers is form factor. As many of you are aware, OLEDs are essentially thin film layers, they are inherently conformable, foldable and rollable, and you can manufacture OLEDs on glass, metal foil or plastic. The versatility and flexibility of OLED is exciting to consumer market with new ideas, designs, and products. Previewed in August and officially launched in September to great reviews, Samsung's third foldable smartphone, the Samsung Galaxy Z Fold 2 has a 6.2 inch exterior screen that opens to a 7.6 inch mini tablet. In conjunction with the Fold 2 launch, Samsung announced that it successfully commercialized a foldable OLED display panel that delivers near perfect folding and outstanding image quality with the world's smallest curvature of 1.4R. And Samsung further noted with a rapid increase in application usage fueled by much higher levels of content amid rising 5G commercialization, demand is already growing for more advanced form factor. Also launched in September was Royale second generation flexible smartphone, the FlexPai 2 with a 5.5 inch display that folds outward to a 7.8 inch tablet. Dual screen devices with OLED displays are also making a splash in the form factor landscape; from Microsoft Surface Duo with a 5.6 inch screen that opens to an equivalent 8.1 inch display to the launch of the LG's Wing smartphone which has a 6.8 inch main screen that can swivel 180 degrees into landscape orientation to reveal a 3.9 inch screen underneath for multitasking and gaming. In IT, Lenovo launched the worldâs first foldable PC last month. The equivalent 13.3 inch OLED screen, the ThinkPad X1 Fold can be used as a tablet or as a desktop monitor or folded into a clamshell. Speaking of IT foldables, its recently been reported that Samsung Electronics, Intel, and Microsoft are collaborating to commercialize 17-inch foldable notebooks. Sales on display in BOE are reportedly developing the 17-inch foldable OLED displays that could be used as a monitor or a large tablet or as a laptop when folded at a 90-degree angle so a virtual keyboard can appear at the bottom half of the display. In TVs, LG Electronics announced last week, they wanted to do the worldâs first rollable TV in South Korea. As noted by LG, LG Signature R TV boosting liquid smooth 65-inch flexible OLED display that leverage a self-lighting pixel technology and individual dimming control to deliver supreme picture quality. But beyond the advanced hardware, the new TV represents LGâs unrivaled ability to innovate and create new possibilities that directly contribute to consumer benefits. R in the name not only signifies that the TV is rollable, but that the TV is also revolutionary in the home entertainment space, redefining the relationship between the TV that can disappear from view at the touch of a button and the surrounding space. Another beneficial characteristic of OLED is transparency. Transparent OLED pixels are newly as clear as the glass or plastic substrate on which they are built. In mid-August, Xiaomi unveiled a 55-inch transparent OLED TV with the description of 'the picture it display seem to floating in the air merging the virtual and the real to bring an unprecedented visual experience.' Also around mid-August LG Display announced it is supply the worldâs first transparent OLED for subway windows in China. LGâs 55-inch transparent OLEDs are mounted on the Beijing Line 6 and Shenzhen Line 10 subway cars to provide passengers with real-time information, such as train schedules, flights, weather and news. As noted by LG, your panel always are gaining interest not only from the mobility customers in the areas of self-driving cars, airplanes and subways, but also from sectors such as smart home and smart building industries. As always they are self of moving with namely in the backlights, they are able to produce a maximized transparency rate. In OLED lighting, BOE has demonstrated a red OLED automobile taillight that offers up to 2,000 nits in brightness and a lifetime of over 20,000 hours. Switching gears from automotive to medical technology, Tohoku Pioneer, UDCâs very first commercial customer in 2003 is supplying OLED light panels that will be integrated into a sleep mask used to treat diabetic retinopathy. Diabetic retinopathy is the complication of diabetes that can cause blindness if left untreated. This OLED sleep mask delivers a precise dose of light therapy to help treat distribution. The exciting world of OLEDs continues to broaden the imagination and transform the definition of what a consumer product can be. We are encouraged by the growing customer discussions and pipeline activity that we are seeing in the OLED display and lighting markets. As the OLED industry continues to gain strong momentum, we remain focused on extending our innovation leadership and enabling our customers. Across the company, we are strengthening our first mover position by expanding our customer partnerships, amplify R&D efforts, enlarging our technical fuel capabilities, and fortifying our product development engines. We continue to make great strides in broadening the breadth and depth of our phosphorescent technology and materials portfolios, including new reds, greens, yellows, and hosts. On the blue front, we continue to make excellent progress in our ongoing development work for our commercial phosphorescent blue emissive system. OVJP is our novel manufacturing process for maskless, solventless, dry-direct printing of large area OLED panels, which we continue to advance and that we believe will pave the path for high throughput, scalable, and cost-effective manufacturing of RGB side-by-side OLED TVs. Innovation and invention remains the core of UDCâs DNA and we are continuing to building our core competencies and pioneering work in phosphorescent materials and OLED technologies. Last month, Nature published our paper titled, Plasmonic enhancement of stability and brightness in organic light-emitting devices, describing UDCâs groundbreaking device architecture that could extend the lifetime and enhance the efficiency of OLED panels. This work is part of our long-term R&D roadmap for continuing to enable the OLED ecosystem with best-in-class technologies and materials. We believe that these and our other strategic initiatives will strengthen and support our primary focus of enabling our customer successes and therefore our long-term success. On that note, let me turn the call over to Sid.
Sid Rosenblatt: Thank you, Steve. And again, thank you everyone for joining our call today. Revenues for the third quarter of 2020 were $117 million, sequentially up from second quarter 2020, $58 million and third quarter 2019, $98 million. Our total material sales were $68.7 million in the third quarter compared to material sales of $31.9 million in the second quarter of 2020 and $51.8 million in the third quarter of 2019. Green emitter sales in the third quarter of 2020 which include our yellow, green emitters were $52.9 million. This compares to $24.2 million in the second quarter of 2020 and $40.2 million in the third quarter of 2019. Red emitter sales in the third quarter of 2020 were $15.2 million. This compares to $7.5 million in the second quarter of 2020 and $11.4 million in the third quarter of 2019. As we have discussed in the past, material buying patterns can vary quarter-to-quarter. Some of the contributing factors include COVID-19 issues as well as consumer product demand cycles, capacity ramp schedules, production loading rates, device recipes, product mix, material ordering patterns, customer inventory levels and customer production efficiency gains. Since a number of these factors are moving variables for our customers, they are also moving variables for us. Third quarter 2020 royalty and license fees were $44.6 million. This compares to $22.4 million in the second quarter of 2020 and $43 million in the third quarter of 2019. Third quarter 2020 Adesis revenues were $3.8 million. This compares to $3.7 million in the second quarter of 2020 and $2.7 million in the third quarter of 2019. Cost of sales for the third quarter of 2020 were $23.4 million. This compares to $12.6 million in the second quarter of 2020 and $17.3 million in the third quarter of 2019. Cost of OLED material sales were $20.8 million, translating into material gross margins of 69.7%. This compares to 67.8% in the second quarter of 2020 and the comparable year-over-year quarter material gross margin of 70.6%. As we have noted in the past, material gross margins can vary quarter-to-quarter. The primary driver of this variance is product mix. With OLED momentum, continuing to grow and our customersâ product roadmaps continuing to expand due to their growing list of OEM wins, applications and models our material pipeline in turn is busier than ever. Some of these development on materials have higher initial cost. As a result of this yearâs product mix of developmental and commercial materials, we believe that our 2020 average material gross margins will be closer to 70%. Third quarter 2020 operating expense, excluding cost of sales was $45.3 million compared to last quarterâs $46.5 million and the comparable year-over-yearâs quarter $39.4 million. Operating income was $48.4 million in the third quarter of 2020, compared to last quarterâs operating loss of $1.2 million and year-over-year comparable quarterâs operating income of $40.8 million. Third quarter 2020 income tax rate was 18.5%, without ASU 2016-09, our third quarter 2020 tax rate would have been 19.2%. Net income for the third quarter of 2020 was $40.5 million or $0.85 per diluted share. This compares to last quarterâs $815,000 or $0.02 per diluted share and the comparable year-over-yearâs quarter of $37 million or $0.78 per diluted share. We ended the quarter with $673 million in cash and equivalents or over $14 of cash per diluted share. For the year, we believe that our 2020 revenues will be in the range of $385 million to $400 million. And lastly, our Board of Directors approved a $0.15 quarterly dividend, which will be paid on December 31, 2020 to stockholders of record as of the close of business on December 15, 2020. The dividend reflects our expected continued positive cash flow generation and commitment to return capital to our shareholders. With that, I will turn the call back to Steve.
Steve Abramson: Thanks, Sid. For the past 2.5 plus decades, Universal Display has built a corporate culture of integrity, collaboration and diversity. Our steadfast drive has also created a culture of continuous improvement and operational excellence. Our companyâs core competencies sensor on energy-efficiency. The discovery of UDCâs proprietary phosphorescent technology was a major breakthrough in the OLED industry. With efficiencies that were up to 4 times higher than conventional OLED materials, UDCâs an award winning phosphorescent OLED technology and UniversalPHOLED materials are prudent and integral to enabling high-performance, low power consumption and energy efficiency in OLED displays in light. As a leader in the OLED ecosystem, Universal Display supports a range of educational initiatives designed to inspire and incur future generations interested in science, technology, engineering and math stem fields. We established UDC, Inc. PHOLED Scholarship, which aims to support a graduating Ewing High School student the talent which is UDCâs headquarter pursuing a degree in STEM field. Universal Display is also partnered with the Smith Family Foundation to promote education excellence in the Trenton, New Jersey area, by providing a grant to their scholarship program. We have also instituted two Annual Award grants in South Korea to recognize outstanding individuals routines that demonstrated innovative ideas for research initiatives impacting the organic electronics industry. UDC is committed to fostering a workplace that encourages and embraces diversity and inclusion. Last week, the Universal Display was recognized by the Forum of Executive Women and PwC enabling Champion of Board Diversity joining a prestigious list of companies who have 30% or more women on their Boards. We understand that the success of our company is due to the hardworking and brilliant global team at UDC. I would like to take this opportunity to thank each of our employees for their drive, desire, dedication and heart in elevating and shaping Universal Displayâs accomplishments and advancements. We are committed to being a leader in the OLED ecosystem, achieving superior long-term growth and delivering cutting-edge technologies and materials for the industry, for our customers and for our shareholders. In closing, Universal Display is committed to advancing our efforts around sustainability, innovation and continuous improvement. As an integral part of the OLED market revolution, we will endeavor to continue to make positive contributions to the industry and the communities around us. And with that, operator, letâs start the Q&A.
Operator: Thank you, Mr. Abramson. We'll now be conducting a question-and-answer session.  Our first question today is coming from C.J. Muse from Evercore. Your line is now live.
C.J. Muse: Yes. Thank you. Good afternoon. Thanks for taking the question. I guess first question, when I look at the customer breakdown, it looks like your large Chinese customer came in a bit stronger than what we were expecting. So just curious, where are we in terms of inventory burn through there? And how are you thinking about the Huawei embargo headwind for your sales to that business? Or is there a follow through with Apple, Vivo, Xiaomi picking up the slack?
Steve Abramson: Thanks, CJ. We do believe that the inventory that was -- that customer has been burned through at this point. So I think that's why it looks so strong. In terms of the Huawei issue, we believe that if the Huawei issue impacts the overall OLED industry, obviously it is going to have an impact on everybody in the industry. However, as you just said, if it is really just a substitution and that the overall industry growth remains intact, then it probably wonât impact us at all.
C.J. Muse: Okay. That's helpful. And then the follow-up related to 5G, but bigger picture. Obviously, there is a power gained by adopting OLED in addition to the better picture, but you also run across the higher bullet materials associated with R out. So curious, thus far in terms of what you're seeing in terms of design wins as far as OLED penetration into 5G? How would you compare that penetration relative to 4G?
Steve Abramson: Difficult question for us to answer in terms of pricing, since we're not OEMs that actually make the displays. What we are seeing though I think is the benefits of OLED overall in picture quality and power consumption. You're seeing the new iPhones, all have OLED screens higher end ones and the others that are being introduced. So we believe that the increased power consumption that 5G is going to require and the power efficiency of OLED screens is only going to help the OLED industry to grow.
C.J. Muse: Thank you.
Steve Abramson: Thanks, C.J.
Operator: Thanks. Our next question today is coming from Brian Lee from Goldman Sachs. Your line is now live.
Brian Lee: Hey guys. Thanks for taking the questions. And great job on the quarter. I guess, I had a question, first off, on the guidance. If I just take the midpoint, it would mean that revenues are down 10% from the third quarter to the fourth quarter and I know fourth quarter tends to be seasonally softer, but clearly, this isnât a normal year. So the question would be, did you see some pull-forward in 3Q maybe owing to C.J.'s question, the Huawei situation, and maybe that's not flowing through into 4Q. Just trying to get some of the puts and takes on the cadence here to end the year in the context of your commentary around demand trends being very solid and persisting into the fourth quarter?
Steve Abramson: Thanks, Brian, for the question. I mean, the drivers for our guidance are primarily the panel production schedules, fab utilization rates, OLED end market demand, year-end inventory issues, COVID issues and in terms of -- we are monitoring it obviously very closely. We are pretty comfortable with our guide the way it is. So, yeah, you are correct. The math is correct. And it is something that weâre just have to monitor very closely, but the quarter so far is tracking consistent with our expectations, itâs only the quarter.
Brian Lee: Okay, fair enough. Thatâs helpful. And then, I know youâre not going to preemptively give us give us guidance for next year, but if I think about just the cadence that youâve seen this year, you had a pickup ever since July and it sounds like youâre expecting trends to be pretty, pretty solid here into year-end. The inventory situation seems to be cleared up. So thatâs not going to be a headwind heading in the next year. And I know year-on-year comps in a COVID world are pretty tough, but when I look at the 4Q number, youâre kind of guiding to mid-single-digit year-on-year growth heading into 2021, and I think there is an expectation that youâd be back to sort of significant double-digit growth, which was what you had been targeting this year before the pandemic hit. So how do you kind of, if I had to frame that question, what are you thinking about here sort of over the next 12 months to 18 months in the context of getting back to double-digit growth? What gives you confidence that that you have a path to get there? And then you did mention the 50% capacity growth target across the industry that you had always sort of outlined as part of your view over the next couple of years, is that still intact? Maybe you can speak to it in that context as well. Thanks guys.
Steve Abramson: I will try to answer all of your questions, Brian. There was a lot there. And regarding the 50% growth from the end of 2019 to the end of 2021 for installed capacity, we do think thatâs intact. It is a fluid situation and there may be some things that get shifted out a little bit, but overall we think the long-term growth picture for OLEDs is really still very strong. And moving to expectations for next year, this clearly trying to look at this year and use it as a guide for next year, because of the COVID issues particularly with Q2, is obviously very difficult. And so right now, weâre focusing on this quarter and weâre confident as we said itâs tracking where we think it should be and to be honest, in our next earnings conference call we will give you guidance for 2021.
Brian Lee: Okay, fair enough. Iâll wait for next quarter. Maybe just one last one, if I could squeeze it in on the gross margins for materials. I appreciate the detailed explanation. It makes a lot of sense, but I guess, it bags the follow-up question of, if youâre seeing some developmental material in the mix that are weighing on margins a bit and itâs been pretty persistent through the year, because I think this was the first quarter where youâve got right at that 70% target and in prior quarters, you are in the 60s. Can you give us some sense of where the developmental materials are happening? Are they in NextGen reds, NextGen greens, are they in host? Are you actually seeing some blue developmental material revenue? Just any context would be helpful. Thank you.
Steve Abramson: Sure, Brian. The developmental materials, I mean, as we stated and we have more customers, we have more work to do with each customer. Our pipeline of the developmental materials is very strong and itâs across the board. Itâs all raw material. And once we start putting them into commercial production, we start building up batch sizes, our economies of scale, kick in and so we still believe that our gross margin picture is intact. But it is to some extent itâs one of the benefits or drawbacks of success and that we have more and more customers and more and more materials that weâre developing. And as weâve always said, in the beginning when you develop something that youâre going to commercialize, it does cost you more money per gram or per kilogram to produce. But in the long run, it is going to continue feeding our growth engine.
Brian Lee: Okay, fair enough. Iâll pass it on. Thanks guys.
Steve Abramson: Thank you.
Operator: Thank you. Our next question today is coming from Jim Ricchiuti from Needham and Company. Your line is now live.
Jim Ricchiuti: Hi, thanks. Good afternoon. I just wanted to pursue the timing for reinstating guidance which obviously we all welcome, but were there any particular factors that really drove that? I mean, is it a fact that perhaps Q1, Q4 has started off more strongly? Is it the idea that your inventory that you were expecting to be burned off by your customers in China have come down? Is it the strength potentially some of the newer products that are being introduced into the market? Any particular things that really drove that decision?
Steve Abramson: To be honest, Jim, itâs a number of things, itâs based upon our ongoing customer discussions with feedback from our field team in Asia, our analysis of where things are as of today and the fact that this quarter is tracking consistent with our expectations. And based upon, obviously there are some year-end inventory issues that may kick in and utilization rates are obviously weâd like them to continue to go up. And there are still are some COVID issues. But right now based upon everything we know we are comfortable with reinstating our guidance for the year at $385 million to $400 million.
Jim Ricchiuti: Got it. And looking at the business that you generated out of China, if we put aside your large customer there, youâre still showing very healthy year-over-year growth and I guess part of that is also some of the TV capacity that thatâs in place in China? Or are you --youâve seen some of the players in China starting to get more traction that youâre working with?
Steve Abramson: Itâs a little of both, obviously LG who has a factory in China, when we list the location where it is, it is a Chinese factory. So that goes into when you go geographically, those numbers go into China. And we are seeing some strength across the board in China also, but thatâs probably the biggest factor.
Jim Ricchiuti: Okay. And last question, just say that, if I may just on OpEx. Anything we need to be mindful of as we think about Q4 operating expense? Thank you.
Steve Abramson: Thank you. No, I think weâre still in line with the 10% to 15% that we talked about, and itâs going to be weighted towards R&D.
Jim Ricchiuti: Thanks a lot.
Steve Abramson: Thank you, Jim.
Operator: Thank you. Our next question today is coming from the line of Sidney Ho from Deutsche Bank. Your line is now live.
Sidney Ho: Great. Thanks for taking my question. Only one question on your largest customer. The revenue was clearly up very nicely. But Iâm a little surprised that it is still down year-over-year versus third quarter of last year, especially given the U.S. smartphone OEM is going all OLED this year. Do you have any incentive to why it's still down year-over-year or other than maybe timing of the launch?
Steve Abramson: I mean, I do think that the pandemic and the purchases in Q2 are really impacted the whole year. And we are still seeing that.
Sidney Ho: Okay. Maybe a couple of questions on the balance sheet. First of all, on the deferred revenue, normally, when revenue is stronger than expected, I would have guessed deferred revenue would go down, but actually it went up this quarter. Just trying to understand the dynamics? And then another balance sheet item on the accounts receivable, is quite a bit higher this quarter and we normally donât see that jump in Q3. Is just -- is that just indicative of the timing of shipments this year being later?
Steve Abramson: Well, I think it is the inter -- Iâll answer your accounts receivable question first. Obviously, Q2 was very light and Q3 was so much stronger and you double it. Youâre going to see receivables grow. We believe that itâs just normal course of operations and there is no issues with these being behind and raising like that. So I donât see an issue with that, it really is a result of the strong sales that we had in the quarter. Then, deferred revenue continues to grow. And we have multiple customers that contributed to that. So it is something that -- youâre right, all of that deferred revenue on the balance sheet is eventually going to turn into revenue over the next few years. So it really just strengthens in the next couple of years to show where weâre going to continue to grow.
Sidney Ho: Got it. Maybe one last from me. Have to ask about the blue emitters, last quarter you highlighted some paper, curious if there is any new development, you can share with us following that paper being published.
Steve Abramson: Weâre encouraged by the continued progress that weâre making on blue. But as we know until, we meet commercial specs initial commercial specs, weâre not going to provide any more details. But our confidence continues to grow due to the significant R&D progress that we are making to recognize blue continues to be work in progress.
Sidney Ho: Okay. Thank you.
Steve Abramson: Thank you.
Operator: Thank you. Our next question is coming from Andrew DeGasperi from Berenberg Capital Markets. Your line is now live.
Andrew DeGasperi: Hi, thanks for taking my questions. I just had a quick one to follow-up to Brianâs question earlier. Are you confident based on what you know now today, that if you go give a 2021 guidance, I know it might seem like an obvious question. But, given that weâre seeing the COVID-19 spikes. And I know that there might be demand disruption potentially. Is there anything that could change that dynamic in the next few weeks?
Steve Abramson: Well, itâs actually a very good question, because right now we think that we can see -- foresee what 2021 looks like, and weâre working on putting together everything that we need to have. However, you are correct. I mean, if the pandemic and itâs -- I honestly believe that the pandemic is the real issue here. If things continue and places that have closed down before are closed down and production cannot continue and our customers, then we may not be able to do that, but assuming that things stay stable and we donât see any major catastrophes around the world, we -- right now it is our intent to do it.
Andrew DeGasperi: Thatâs helpful. And just in terms of your number one customer. Iâm not sure if you can share this with us, but I was wondering has there been any change in terms of the recipe of the emissive material in the current line of smartphones versus last year.
Steve Abramson: To be honest, we really donât talk about what our customers' recipes are. So, itâs not a question that I can answer for you. Weâre just, weâre pleased with the continued growth and where the market is going now.
Andrew DeGasperi: Got it. Thanks so much.
Steve Abramson: Thank you.
Operator: Thank you. Our next question today is coming from Shannon Cross from Cross Research. Your line is now live.
Patrick Jackson: This is Patrick Jackson on for Shannon. Just one question on how youâre thinking about the OLED TV market after few quarters of strong overall TV demand? And what pricing changes do you expect for new production or entrants in the OLED TV market over the next year? Thank you.
Steve Abramson : Thank you. In terms of the TV market, I mean, I think, LG talked about 2021 being somewhere between 7 million and 8 million TVs. I think this year the number is probably in the mid-4s, with 19 OEMs branding OLED TVs and as production continues to grow, we hope that pricing continues to come down to help the market grow, but thatâs not something thatâs in our control. Vizio moved into the market and Vizio historically is a price leader for TVs. But we are very encouraged by the OLED TV market growth and still continue and will be rated the best TVs ever.
Patrick Jackson: Thank you.
Steve Abramson : Thank you.
Operator: Thank you. Our next question is coming from Atif Malik from Citi. Your line is now live.
Atif Malik: Thank you for taking my questions. I also have questions on the TV market. As said, if you can help out what percentage of your material sales are TV driven or exposed and when do you expect TV material sales to crossover mobile?
Steve Abramson: Iâm sorry, in terms of units, I mean, LG is our second largest customer, and itâs based upon square meters of glass without the entire substrate. So I think that in our Investor Relations report, you can see that once you get to 10 million or 11 million OLED TV thatâs equivalent to almost 700 million smartphone screen. So, I mean, thatâs pretty much where the crossover would be, but thatâs a number of years away, before you get to 10 million or 11 million OLED TVs.
Atif Malik: Got it. And then Samsung yesterday talked about a delay in their LCD exit strategy, because of work-from-home demand for LCD monitors and all that, are you seeing an impact on capacity ramp for any of the OLED projects, because of improved profitability on the LCD side?
Steve Abramson: No, I mean, to be perfectly honest, the OLED growth is going to be driven as we discuss a little bit earlier by new products, mobile size products and 5G requirements for towers, and I think youâre going to have OLED screens in mobile devices. On the monitor front for OLEDs, thereâs only a few actual monitors out there and they are for gaining. It isnât -- I donât think that the monitor increase in sales, because of work at home is going to impact the OLED business. Right now the growth is in mobile sizes and TVs.
Atif Malik: Great. And then lastly, China Star has announced an OLED TV fab in 2024 using RGB inkjet printing. What is your view in terms of China adopting technology like that and what will affect -- how will it affect your sales and also if you can update on your revenue timing for OVJP?
Steve Abramson : So just in terms of China Starâs announcement, I mean, we believe that the future for printing is TVs is in OVJP. I mean we worked for a number of years and experienced firsthand how difficult it is to inkjet print using technology that exists today. So our OVJP technology is using the best of both worlds. Itâs vacuum deposition and printing technology, so that we know that they both can work. So if our customer is going to work on something that they think works, thatâs fine. Our materials work with printed technology, but we really believe that the future of printing is really in OVJP.
Atif Malik: Thank you.
Operator:  Our next question is coming from Martin Yang from Oppenheimer. Your line is now live.
Martin Yang : Hi. Thank you for taking my question. So, just a follow-up on OVJP. Can you maybe outline for us your -- the milestones we should be expecting as you move along with development and then commercialization of OVJP technology?
Steve Abramson : Well, as you guys may recall, this summer we formed OVJP core and hired Jeff Hawthorne as the CEO. Heâs been hiring people out on the West Coast to start the equipment design and build for the alpha system, while weâre continuing to work on the R&D and the device architecture back in Ewing. We think that probably commercialization is probably three -- still three to five years away. But weâre very, very excited about the progress that weâre making.
Martin Yang : So follow on to that, do you intend to design the equipment all on your own or would you eventually choose a within display semiconductor equipment partner to work with?
Steve Abramson : Thatâs a very good question. Right now we are exploring all of our commercialization options.
Martin Yang : Got it. Thank you.
Operator: Thank you. Our next question today is coming from Krish Sankar from Cowen. Your line is now live.
Unidentified Analyst: Hi, this is on Robert  on behalf of Krish. Thanks for taking my question. Maybe just one last one sorting back to the TV market. Just maybe what your views were in terms of the OLED penetration, may be what was tracking today and how you see that developing over the next year and maybe some puts and takes with competition in the premium TV market, whether itâs quantum or other technologies? Thank you.
Steve Abramson: Thank you. Weâre very excited about the TV market. Obviously, LG is the only OEM making panels thatâs getting more and more OEMs who are badging and continuing to get rate reviews. And to be honest, when you go to a Cosco or someplace like that, you can see that the prices are coming down. And I think that that is just going to drive more adoption of OLED TVs, because of the picture quality. It is when you walk in a Cosco, they always have OLED TVs at the very front door. And then the one that I go into has 77-inch TV there. So -- and everybody stops and stares at it. So I do think that it is obvious still at the premium end, but you can get 55-inch OLED TVs, I believe for $1,200 now. So it is getting much more in line with not just upper cross premium, but just a premium end of the market and it will continue to do that as new capacity and the factory utilization goes up and they add mine. So I think that weâre very excited about it and I think the estimates for 2023, I think are going to 2022, 2023 going to 10 million units. I think thatâs very achievable.
Unidentified Analyst: Great. Thank you. I appreciate that, and congrats on the quarter.
Steve Abramson: Thank you very much.
Operator: Thank you. This concludes the question-and-answer session. Iâd like to turn the program back to Sid Rosenblatt for any additional or closing remarks.
Sid Rosenblatt : Thank you all for joining the call tonight, and we wish you all to stay safe. Thank you.
Operator: Thank you. This concludes todayâs conference call. You may now disconnect.